Iris Eveleigh: Good morning everyone. And a warm welcome to our Half Year 2024 Results Call. I'm here with Leo and Nadia, who will present our H1 results. Special welcome to you Nadia, your first call in your new role as our CFO. Happy to be here with you. As with every occasion, we will leave enough room at the end for your questions. And this time we will also aim to finish two to three minutes earlier because we know that you probably want to jump on the next call with RWE. So, we will cater for that. With that I hand over to you Leo.
Leonhard Birnbaum : Thank you, Iris. Good morning everybody also from my side. Happy to be here again with you, warm welcome. I'm happy to talk to you about another successful six months for E.ON, and once again we show that we are the playmakers of the energy transition. And I have today only three very simple messages for you. Let me just kick it off with them. First, during H1 we have not only delivered financially, we have also further scaled our investments. With that we continue to be fully on track to meet our Group ‘24 guidance. Second, we target to be the efficiency leader in all our businesses, and today we will share with you some significant achievements that we have made in this regard. And third, our growth story really has just begun, considering the massive investment requirements for distribution grids in the next decades all over Europe. To my first message. Our Group financials are in line with our expectations. Our reported performance is dampened by well-known positive timing effects and one-off effects, which occurred in 2023, but do not re-occur this year. And Nadia will give some more details on all of that later. The underlying earnings development is predominantly driven by the successful execution of our investment plan. We increased our investments by more than 20% or in absolute numbers by around EUR 500 million in the first six months of this year, in comparison to the same period of last year. To make it a little bit more interesting and tangible what we are talking about, I brought to you some of our CapEx. What you see here is one out of three phases of 110 KV cables. So three of those are one 110 KV lines. So we're building all of that like hell. It's actually quite impressive, I put it like this. No, so it stands between the two of us. This we don't want. So we are making progress in terms of CapEx delivery and with all of that financially and operationally we are fully on track to achieve our group guidance for 2024 and again Nadia will give more details later. Now on my second message for today E.ON’s efficiency leadership. We are leading the pack in terms of efficiency and this is also clearly our aspiration. We received an average individual efficiency score for our German power networks of around 100% which is significantly above the average. And in addition two of the DSOs which we have received a super efficiency bonus from the regulator which brings them to an efficiency even above 100%. We also continued to proactively address potential operation at bottlenecks. We have increased our workforce in the first half of this year by more than 2000 employees on a net basis. We've actually hired more, but on a net basis we have increased them by 2000 actually slightly north of 2000 employees and the vast majority of those have been added into the German network business. We are with that fully on track to achieve also the planned additions in workforce which we are guiding for the full -- or which we're aiming for the full year. We have also made significant progress in the standardization of key components. The reduction of the number of variants that we use is a clear example of this, for example on high voltage power-lines where we then put those decent cables below. So we have reduced the from 130 different types to 20 and in the substation transformer variants from around 90 to around 20 and this simplification of variants actually helps us to also future proof our supply chain because it's obviously easier with a standardized approach to actually achieve the volumes that which we have. And furthermore on the supply chain, we have diversified our supplier base and optimized the ways in which we forecast materials and this allows for a more reliable long-term planning with our key suppliers and consequently we have been able to plan and secure quantities with certain suppliers for critical classes of materials up till 2033. Let me now elaborate a little bit on the strong operational performance across our different business segments which obviously this performance is the base for our future growth. What is clear for us is that future power networks need to be digital. This is why a large proportion of our investments into networks and solutions are metaphorically speaking not just copper and aluminum like here, but also in silicon. A core part of our strategy is to standardize, digitize and automate all processes across the company and we apply them along our value chain from the connection request for our customer who wants to feed in renewables to the billing process. For example we have already have the processing time for approving new connections. We have mentioned to you in the past that we are progressing well towards full digitization of connection request handling and let me now shed some light on the meter-to-cash process where we reached an extremely important milestone just this June. We went live with the new meter-to-cash system in the first half of 2024 for around half of our German grid customer base. The system which we have installed to that regard provides standardized processing for things like meter reading, device management, billing and to make clear what a migration effort we are talking about. This implied that we had which we did successfully, we had to migrate half of our German customer base together with 12 billion data sets over one weekend and then go live from Friday to Monday. It's actually a huge achievement and it shows how much progress we have made in becoming a digital utility for the future energy world. Now that we have validated the system, we will in the second half of the year also migrate the remainder of our customer base. Within our Energy Infrastructure Solutions segment, EIS we are progressing and decarburizing our customer and society whilst securing financial growth for E.ON in the future. Here just some examples in the UK we have announced a long-term partnership with Peel Ports Group, the UK's second largest port operator. This partnership includes plans to install the UK's largest roof mounted solar energy system on the port of Liverpool. We also signed an agreement to build our pioneering low carbon energy network ectogrid for more than 6,000 new homes and business properties at Silvertown in East London. These achievements demonstrate that the demand for decarburization solutions remains strong and this strength is also reflected in the ESI’s portfolio pipeline for the second half of this year. On the energy retail side, customer numbers were stable despite the increase in market activity in some markets. Additionally, we continue to roll out digital customer handling and can now report that two-thirds of our contact volumes are being handled digitally, which is a significantly a market increase versus around half what we had last time. The strong operational competence of our energy retail segment is also highlighted by our new partnership with in this case MAN Truck & Bus where we will lead the build out of a public charging infrastructure for electric trucks, which will also be available to the public, for example to cars. We will install a total of 400 public charging stations at 170 locations across Europe. That brings me then to my third and last message for today, unchanged. It's an unchanged message. We continue to see significant upside potential for investments. I want to put that into numbers and let me just quote a recent Eurelectric study. Europe will need to almost double investments to around EUR 55 billion to EUR 67 billion, depending on assumptions we are making, which is roughly twice the EUR 33 billion which we are in distribution networks spending today. This huge demand for network investment is being driven by the addition of renewables, as well as by charging a changing customer behavior by E-Mobility and all the well-known effects. For our German DSO, this translates into an increase of relevant connections by four times from around 1.7 million in 2023 to around 7 million connections in total by 2030. Considering the constantly progressing and challenging macro environment, I would like to highlight in this context the very important point that our gross story is actually very sustainable and very robust. The new EU Commission is expected to develop a proposal for new climate targets towards 2040 and its first climate policy project. As its first climate policy project, actually the 90% which have been announced have zero impact on our growth trajectories going forward. We are pretty independent also on the political target when it comes to our growth stories in the next 10 years. A continuous reevaluation of the set target is important, but of greater importance to focus on implementation and affordability, rather than actually discussing additional adjusted targets. What we would really need is to find a way to provide adequate returns to allow for a faster build-out. Here we still require substantial improvements, especially in the German regulatory framework. In particular, the return on equity must improve to attain the required return for our investments beyond the level which we have already in our plans. If this were to improve to international market standard, it could justify further investments beyond what we have in our plans so far. In addition, a focus on flexible energy system and more efficient build-out requirements with regards to where the build-out of renewables should happen to ensure that sufficient grid capacity is available would be very helpful. The last two aspects that I mentioned would both reduce significantly the system cost, which would also be a positive in terms of affordability. So, much also for my side, three simple messages. Let me just repeat them again. Continued financial delivery, including growth, continued operational excellence, including digitization, and a sustainable and robust growth outlook. And with that, over to you Nadia.
Nadia Jakobi : Thank you Leo, and a warm welcome to all of you from my side. I'm delighted to present to you our financial results for the first time today. As your new CFO, I fully stand behind E.ON’s Capital Market Story and my focus is to deliver on the financial promises that we have made. The execution of our growth plan is of high importance to me and I will ensure that we create value for our investors in everything that we do. With that, let me walk you through our solid results of the past six months. Here are my three key messages today. First, with EUR 4.9 billion EBITDA and EUR 1.8 billion adjusted net income, our H1 key earnings metrics are in line with our expectations. Our underlying EBITDA is actually growing in the order of a low triple digit million Euro amount, putting us in line with the full year underlying growth assumptions that are baked into our guidance. As you all know, our reported growth is dampened by non-recurring positive and one-off effects from 2023, which arose mainly in the first half. Overall, we fully confirm our group guidance for 2024 and the targets for 2028. Second, investment-backed earnings growth and strong operational execution remain significant growth drivers across all our segments. We are progressing substantially with our planned investment ramp-up and increased our H1 CapEx expanding by more than 20% year-over-year to EUR 2.9 billion. Third, H1 economic net debt came in as expected and continues to provide a solid foundation not only for our current investment growth plans, but also for potential increases in the futures if returns are adequate, like Leo mentioned. Let's move on to the details of our H1 EBITDA development. Our adjusted EBITDA was down by EUR 800 million year-over-year due to the non-recurrence of positive impacts from timing and one-off effects seen in H1 2023. As mentioned before, adjusting for these, we would have seen a solid low triple digit million Euro increase. Looking at the drivers in our different segments, let me start with energy networks. The small decline in H1 was driven by the unwind of prior year positive timing impacts from lower re-dispatch costs, as well as slightly higher than expected costs from upstream networks in the first quarter of 2024 and slightly lower wheeling volumes in Germany due to warmer temperatures during the second quarter in 2024. As a reminder, all those effects are economically neutral given the regulated nature of the segment. Additionally, the accounting change for our Slovakian business to equity has driven a technical reduction in EBITDA in our Central European business. Regarding the underlying operational performance, we continue to be very excited about the growth path of our networks business. Underlying EBITDA shows significant RAB-driven earnings growth in all regions, the positive uplift from regulatory parameters in Sweden and positive inflation protection in Germany. Additionally, we are realizing the remaining network loss recoveries in Southeastern Europe. In Energy Infrastructure Solutions, investment-driven growth is progressing well, as expected. Underlying EBITDA growth is currently overcompensated by effects we had already mentioned in Q1, namely the non-recurrence of positive 2023 runoff effects, the accelerated maintenance schedule and temporarily lower volumes in our district heating and cooling business driven by warmer temperatures, with a latter effect also extending into Q2. Fundamentally, we are fully committed to the exciting growth path that lies ahead of us for the energy infrastructure solution business. In energy retail, the year-over-year EBITDA decline we see is fully in line with what we expected. Let me explain the various drivers behind it. The largest impact came from the well-known unwind of 2023 runoff effects from procurement optimization and the UK tariff deficit recovery. B2B performance in the UK continues to be strong, slightly overcompensating for the well-managed impact from lower volumes due to warmer temperatures. Another key effect which drove the EBITDA year-over-year variance was the increase of market activity, which we already had anticipated. Let me point out. The continuously reliable performance of our energy retail business, not only during the energy crisis, but also in the ongoing phase of normalization of market conditions, is in line with our guidance and confirms our strong conviction to this highly cash-generative segment. The H1, 2024 adjusted net income development, shown on Page 9, follows EBITDA with all earnings elements below EBITDA, in line with our expectations. This puts us on track for our full-year guidance. The development of our economic net debt, as shown on Page 10, shows our typical Q2 seasonality. We have seen strong operating cash inflow broadly covering our Q2 investment spending. The economic net debt uplift is largely driven by the dividend payment in May. When it comes to our CapEx ramp-up, it continues to progress well. Across the Group, our CapEx fill rate in H1 stands at roughly 40%, which is around two percentage points ahead of H1 2023. Our ramp-up remains frictionless with respect to the management of our operations and supply chains, and we remain confident on the future development of our investment spending. Finally, following the rating update by S&P and Moody's rating confirmation in March, we have also received Fitch’s confirmation of our strong balance sheet position. Fitch kept our BBB+ rating unchanged. With this, all three rating agencies continue to positively assess our funding and financing outlook after the significant CapEx increase that we announced in March. This also confirms our view that, in line with our commitment to a strong BBB, BAA rating, we have additional balance sheet capacity to fund further energy transition investments if regulatory conditions are adequate. I would like to close today's presentation by fully confirming our guidance. Our solid H1 results support our 2024 earnings expectations, particularly in the energy networks and energy retail segments. We have seen some temporary effects in our energy infrastructure solution segment. These stem from warmer temperatures resulting in lower volumes in the district heating and cooling part of the business. Therefore, we now expect the segment's earnings to be in the lower half of our EUR 550 million to EUR 650 million guidance range. That being said, we fully confirm our 2024 guidance both for our segments and for the group. We see the midpoint of our group guidance range still as the best estimate for our full year result, meaning that we expect the other segments to compensate for the temporary effects in energy infrastructure solutions. We also confirm all our 2028 targets, both for all our segments and for the group. Finally, let me say that our balance sheet remains sound. This enables us to continue to pursue value creation in organic growth opportunities while rewarding our shareholders with a growing dividend. With that, back to you, Iris, for the Q&A.
A - Iris Eveleigh : Thank you very much, Nadia. And with that, we open the Q&A session for today. And as always, I would like to remind you to please stick to two questions each. And we will open today the Q&A session with you, Wanda, from UBS. Hi Wanda.
Wanda Serwinowska : Hi, hi. Two questions for me. The first one is on retail. You mentioned an increased market activity. What is E.ON doing to prevent its earnings? Which markets are affected? And are you able to quantify the weather impact for H1 ideally for both retail and EIS? And the second question is for you, Nadia. Congratulations on the new job. I know it's still early days as a CFO of E.ON, but what do you see as the biggest challenges for the group from a CFO point of view? Thank you.
Leonhard Birnbaum : Want to start with that?
Nadia Jakobi : Yeah, I can start. So, hi Wanda. Good to see you. Yeah, what does excite me most about my new job, I think we have pointed it out. We have got a huge, massive organic growth program ahead of us. That's where I will put my focus on. So, my focus will be firstly delivering on all our financial promises, both short-term and long-term. Secondly, enabling value creation within this big growth plan, so that's basically it.
Leonhard Birnbaum : And I can assure you that she's already doing it on a daily basis, which is good. On retail, we have seen an increase in activity, not so much in the U.K., but more actually in Germany, and that is basically these are the most relevant markets. We do not quantify individual effects like warmer weather, but we have been able to compensate for that. I think that is the message that we want. So, we don't want to compensate, because then the question would be what has been exactly the compensating factor. So, the moment we see warmer weather, we look to compensate for that in other fields and areas. So no, I don't want to quantify it, but we have been able to compensate for that. But we had no supporting wind as in the last year, this year. This year we had to fight to actually get where we are, and it's actually a symbol or it's maybe an outcome of good performance in operations that we are where we are.
Wanda Serwinowska : Follow up, what E.ON is doing to prevent the earnings in retail in Germany if you see the market activity increasing?
Leonhard Birnbaum: Product development, good pricing, communications, branding activities, all the levers that you have, you need to provide also then some creative new products to show good value for money. You need to think about the timing and the level of price adjustments, when and where to make them and we are pulling all these levers. Now, I'm struggling a little bit to point out now, one specific measure in one tariff, because as you well know, we have multiple customer groups in multiple different contracts, so customer group by customer group. We are thinking what is the best way to actually protect the margin from that customer group. So, I would say that's maybe the way to think about it. It's a never-ending journey. The second point that I would however say is, we are continuing on the path that we actually had started before the mark-up in addition – in market activity. For example, in digitizing all our processes. So the increase that I mentioned also briefly in electronic resolution of customer contacts is actually mainly driven by an increase in Germany, where traditionally we have a lower electronically driven response rate. So, all these measures together have been part of protecting our margin so far and will be part of going forward.
Nadia Jakobi: And maybe to add to that, market activity doesn't – for us as a big leader in the markets, it doesn't mean that it is negative for us, because we, as you can see from our customer numbers, we also actually – we kept them stable or actually increased in some parts. So market activity means also something positive for us, that we can actually go into the market and acquire additional customers and we are able to fascinate more customers to become our – more non-customers to become our customers.
Iris Eveleigh: Okay. Thank you, Nadia. So, with that, thank you Wanda. The next question comes from Alberto. Hi Alberto!
Alberto Gandolfi : Hi Iris, and thank you for taking my questions. And Nadia, welcome as well and congratulations. First question is on regulation in Germany. Now, can you give us an update on the accelerated depreciation in gas? How is – has this been approved? How does this impact your cash flow generation and your ability to invest? Is this upside or is it part of the plan? And while you talk about regulation, can you give us an update on the domestic allowed returns on timing? What's your case given the current interest rates for higher returns? The second question is, to all investors that say that returns are not good enough in Germany, what would you reply? And how much incremental CapEx could you do in the current plan if your allowed ROE were to go up, say, one to 100 basis points? I estimate EUR 5 billion to EUR 7 billion. I was just wondering if you have a number in mind. Thank you.
Nadia Jakobi: These were more than two questions, Alberto.
Leonhard Birnbaum: That's the usual trick, two questions with sub-questions, but this is good. So on question one regulation with sub-questions A and B. So first Alberto, good morning also from my side. You asked on the, what we call KANU regulation, which is the accelerated depreciation of gas infrastructure. Two things: The first thing is for us, this means a significant reduction of risks of having stranded assets in the future. And so this is – so the main impact first is this has been, is basically now approved. This means that we see a significant reduction of risk going forward, not to end up with stranded assets. We have not factored that into our plan so far, because what it basically does, it allows us to depreciate our assets faster, starting at the earliest in 2025. So we are now putting this into the planning cycle for the next mid-term period. And we have to decide when do we start with that? How do we depreciate? Because there are different ways of depreciation possible and then we will know the impact. But it's clear, so it's less of an additional earnings, but more of a risk reduction what we are talking about. And no, it's not quantified yet and not included yet in the budgets.
Nadia Jakobi: Yeah. No, it's not included just to sort of go. So Leo is absolutely right. We are currently not expecting a big net income uptake, but there is an uptake in EBITDA. So you can see if you sort of have a higher regulatory depreciation that actually increases our revenue line. And it means that EBITDA will increase from this, which is not included. But then we are, of course, also a faster depreciation, our accounting P&L. So the higher regulated D&A will match the higher accounting P&L. And of course, there might be a bit of differences between the two, but we expect net income to be in overall same ballpark. But of course, there is an additional financing effect from this, which we haven't baked into our current guidance yet. And what we will do with this additional financial means, we will then decide at a future point in time. And I think the same applies, what Leo has said earlier, that first the regulatory conditions need to improve before we decide how to spend this additional internal financing that we get via this regulation.
Leonhard Birnbaum: Yeah. And that brings me to the second part of your first question, update on German regulations unchanged. Yeah, we're still in discussion. And no, I don't want to speculate about any numbers now, potential outcomes, and so this we do with the regulator.
Iris Eveleigh: Thank you, Leo. With that, we move to the next question, which comes from Harry from Exane.
Harry Wyburd : Hi, everyone. Thank you very much. Two for me, and I'll try to keep them relatively short, given the time constraints. So first one, we've talked a bit on some of the previous conference calls about what might happen with CapEx in the parts of the distribution grid in Germany, which you don't own. And you've mentioned that you would be very capital light in how you would approach that. But there could be some scope to be involved operationally in the CapEx that's not on your balance sheet. I wondered if there's been any development of your thoughts on that and how we should think about it. Is this something where you could potentially earn a material margin if you got involved in CapEx of your partners or other asset owners, and is this something that you think could be relevant in your next strategic plan? And then second one, I apologize because obviously it's not a fundamental question on E.ON, but it's something that's clearly been moving your shares a little recently. Can you say anything on your shareholder agreement or can you give any insights on the RWE stake? Is there anything that would prevent them selling down a stake in E.ON from your perspective or anything that you think you can add to that question? Many thanks.
Leonhard Birnbaum: I’ll take the second question first. It's, well, publicly acknowledged that we have an agreement, but the terms and conditions of that agreement are confidential I'm afraid, and so, no, we don't say anything on that. On the first question, DSO as a service, what I mentioned, I think that was in the context of could we see or would we be interested in taking over other distribution assets? And I mentioned that we have so much organic growth opportunities that our interest to actually do M&A and buy other networks in a CapEx heavy way and then integrate them, restructure them is limited. So we would be opportunistic on that, but that it would be of much more interest for us to provide services to third parties for that. We are making progress on that, but I think it's too early now to highlight that. In the context of the planning period, we are looking at that in more detail and we might in the future give a more specific update, but I would not like to speculate about numbers now. I think there is an opportunity there. It's not material yet in 2024. So it doesn't really matter for the 2024 numbers that we are currently discussing today.
Harry Wyburd : Okay, many thanks.
Iris Eveleigh: Thanks, Leo. Next question comes from Ahmed from Jefferies.
Ahmed Farman : Yes, thank you for taking my question and a warm welcome from my side as well. Can I just start by asking about the EIS? Could you help us understand a little bit in more granularity, the organic growth trend for the first half? If I look at the standalone 1Q or 2Q results, obviously there's quite a sort of step down year-on-year. But you highlighted there's a lot going on in that division. So it would be very helpful to just get some perspective on the underlying organic growth that you are seeing. My second question is on the net debt. Could you help us a little bit and give us some granularity and an outlook for the full year? And is there anything within that that we should think about around pensions and AROs, given interest rates have started to move around now? Thank you.
Nadia Jakobi: Yes, thank you, Ahmed. Let me start with the second question. So on economic net debt, we expect that the year-end will be approximately in the ballpark that we have been now seeing in our first half. So we expect our cash conversion rates or the best guess is still the same that Mark has given in the Q1 earnings call, which is around 90%.We see then, of course, a future normalization of the cash conversion rate to 100% in the years thereafter. There is not a – I cannot – I think I would just confirm that the typical sensitivities we have given for pensions and ROs would be kept unchanged. So I would still say that's the best guidance we can give to the economic net debt. Then the second – the first questions that you had, when you look at the EIS development year-on-year, you first need to consider that there were one-offs in Q1 2023, non-cash effective one-offs in Q1, 2023. Then the second thing, what we have also highlighted in the speech is that we have seen extraordinarily warm Q1 and Q2. And of course, we consider climate change in our estimates, but this was something which was really impacting year-over-year. And the third element is that we have been bringing forward some of our maintenance schedule when we had some planned and unplanned outages, which mainly affected our H1. So when it comes, so that's sort of the one-off effects and things that have nothing to do with the under fundamental growth plan.
]:
Iris Eveleigh: Thank you, Nadia. So with that, we move on. Next question comes from Louis Bouchard [ph] from Odo [ph]. Hi Louis.
Unidentified Analyst: Hi. Good morning to everyone. Thank you for taking my question. Maybe two quick one on my side. The first one, I was just wondering if you could provide some granularity on your comments, notably regarding the ban and acquisition in tariff in the UK. Specifically, you seem to be quite happy with the decision to extend it to at least 31st of March 2025. I was wondering if there is any chance that it could be extended forever, since it might not be necessarily the best way to have a competitive market in the long term. So do you have any view on this and what would you favor regarding this specific element? And also, maybe since you don't go into the details, the division-by-division on the A1H release. If you could provide a rough idea of what could be the consolidated figures of the one-off that you have already recognized and taken into consideration in the 1H’24 compared to 1H’23. So what is the base effect? You mentioned EUR 1.3 billion for the full year in 2023 that needs to be reversed this year. At what level are we at the half of the year? Thank you very much.
Leonhard Birnbaum:  I’ll take the first. On the ban of acquisition tariffs, I think that is a consistent approach by the regulator to make sure that we have in the market, players that are around, not speculating on wholesale prices, which you could easily do actually otherwise if you were allowed to come in now with acquisition tariffs. So we see this positively and this is why we have been also publicly positive about it, because we think this is a consistent policy approach. It is actually good to see that this has a stability. Whether this has eternal stability, actually I don't want to speculate on. I would only say we have no problems with competitive markets. So I am not sure what you meant with your comments that maybe necessarily competitive markets are not the best one going forward. Obviously, we would say competitive markets are the best for our customers and we need to deliver against them. But competitive markets in which all the players actually compete on the same basis, and not like we had it before the crisis, that we have some players that actually pick up the shambles of others actually not doing their job. So in that sense, I would just answer your first question. And the second, I think Nadia is yours.
Nadia Jakobi: Yes. Thanks for the question. So for our – to come to the underlying performance, you would take out EUR 1 billion approximately, in the ballpark of EUR 1 billion out of our H1 results. And that means by what you said, that we don't see that, not a pro-rata approach of the full year run-offs of 1.3, but only a lower amount in the second half.
Iris Eveleigh: Okay. Thank you, Nadia, Leo and Louie.
Unidentified Analyst: Thank you very much.
Iris Eveleigh: So, next question comes from Deepa. Hi, Deepa.
Deepa Venkateswaran: Hi. Thank you very much and welcome, Nadia. Sorry to throw the first question at you. One of your larger network peers in the UK surprised the market with a huge rights issue, and so this of course has been a common question for E.ON. Could you reiterate what your stance is on equity as a source of funding versus the headroom in the balance sheet, divestments? And if I'm not mistaken, you don't even have any hybrids. So where does equity come in the pecking order, if ever? And secondly, Leo, thanks for your comments on reiterating that you will only invest more if the returns in Germany will go up. Do you have an idea of what you want the number from B-nets [ph] to be in order to open the purse strings a bit more? Thank you.
Leonhard Birnbaum: I’ll take the first one first. I think I said it already to Alberto. We don't want to speculate about numbers that we have to actually then discuss in private discussions with the regulator. So no, I would not give you an answer on that one. Actually, I can also take the first one. There's no need.
Nadia Jakobi: I can also do it you know, because Leo has already confirmed it together with Marc in full year, 2023, and he will get exactly the same message from me. Our EUR 42 billion investment program is fully financed by internal and external financing. We don't see any need for additional equity. We will have and we can confirm it. We had to wait confirming this EUR 5 billion to EUR 10 billion headroom that we have. And we've also seen it from the rating agencies. They have been even uplifting us to BBB, knowing all about our investment program. So we confirm, we iterate what we said at the full year guidance. Please bear in mind that we've also got the discretionary EUR 2 billion of disposal program that we could utilize to spend more into the energy transition and into the German grid, if and when the regulatory environment fits to our requirements, to our return requirements.
Iris Eveleigh: Thank you. So and with that, I think we come already to our last question from Piotr from Citi. I guess you will all leave some time to jump onto the next call. So Piotr, you will probably have the last word. Last question, not last word, sorry.
Piotr Dzieciolowski: Thank you very much for squeezing me in. Can you hear me?
Iris Eveleigh:  Yes, we can hear you.
Piotr Dzieciolowski: Okay, thank you very much for squeezing me in and thank you for the presentation. So I have to ask you a question about this return debate and possibly increasing your returns. Assuming you are successful in convincing German regulators to give you higher return, could that trigger a bigger portfolio rotation? Because on the risk adjusted basis, this return would be superior to some of the Eastern Europe and you could deploy a lot of this capital in simply organically investing in Germany. That would be a better return for you. And second question, I wanted to ask you about the renewable assets containments within your network or more broadly in Germany. At what level we are now? There are some articles talking about 4% of production, total production being curtailed. How do you see this now and developing in the next couple of years?
Leonhard Birnbaum: Yeah Piotr, I’ll start with the second one. I’ll give you an example, which I also gave this morning in a press call, so just that you understand the magnitude of what is going on. In north of Berlin, basically we have a supply which is called ADS. There we have a peak load. It's a rural area, up to the Baltic Sea of 2 gigawatts. We have an installed base of 14 gigawatts. We are seeing massive additions, especially of PV, and we're seeing now connection requests in the same area for 190 gigawatts of renewables, which would be – I mean, it's insane. So, we couldn't build enough of these lines, which I have here standing next to me. And obviously, not all of the 190 will be materials. But even if only 10% would be materialized, we would be talking about an area in which we would have then something like 20x peak demand as an installed base. That makes no sense. And obviously, what this really tells you is that we are currently adding massively renewables in areas where we have objectively no need for that on the demand side, and actually limited capabilities to integrate them on the distribution side, which means this is counterproductive. And in terms of affordability, we actually shouldn't be doing that. So, I have been quite explicit on the record for a while now, that I say we need to make sure that the addition of renewables is better synchronized with the expansion of the infrastructure. The real bottleneck is the infrastructure. What matters is how fast we can add infrastructure to these lines, and not how fast we can add PV, further PV and wind. What this will really mean in terms of curtailment, also I don't really know, because that depends highly on power prices, kind of like how expensive this becomes. But over the last three years, we have spent $10 billion on that one, only on the curtailment of renewables. And despite prices going down, actually, we don't see a collapse of the cost for curtailment in the same order of magnitude as in the reduction of prices, which shows you that the problem is actually increasing. We urgently need to address that. I think that is actually known to policymakers. The same is true for PV across Europe, also in other European markets. We are observing that the addition, especially the successful addition of PV, which is not controllable, adds a feed-in, which is very stochastic and volatile, and which really massively increases the stress on the system and in the end, the cost on the system. So it's a real issue. We need to absolutely make our systems more flexible. Currently, the addition of renewables happens faster than our systems become able to cope with it technically, and the speed at which we are adding flexibility into the system. So I think there is an urgent need to act on that side. That is what I would like to say. So let me call it this way. For engineers, exciting times, but in networks, we don't want excitement. We just want constant delivery and stability. So this is something we need to get under control. On the first question, I would just say I would not like to discuss now and to start now a portfolio discussion. What really matters is, we want to invest more if there is a higher need for infrastructure, which there is. So let's make sure we get the higher returns and then we will cope with it and figure out what it really means for all our portfolio.
Nadia Jakobi: And be assured that, of course, when we do capital allocation, we look where we get the highest value spread. That is, of course, surely taken into consideration.
Leonhard Birnbaum: It can work also against Germany, by the way, no.
A - Iris Eveleigh: Okay, thank you, Leo and Nadia. And I understand, Alberto, that you have one additional question. So we might make one exemption to let you ask a third one.
Alberto Gandolfi: Thank you. Third one or fifth, according to some interpretation. Thank you. Because there were no extra questions, I took the opportunity. One quick one, and this is probably for Leo. I didn't hear much about data centers and I've recently heard that you actually sold land to Microsoft on a lignite site to build a big one. Do you have any feel for what gigawatt pipeline from data centers we currently have in Germany? Have you been contacted about connection requests? Can you give us maybe a quick update on where we stand? Thank you.
Leonhard Birnbaum: Yeah. So first, we have in our current plans, we are planning the connections of around six gigawatts in German networks by 2030. Most of that actually in the Frankfurt area, which is Avacon on the one side and Suvac on the other side. So two of our distributors, which really cover the circle around Frankfurt. They have massive addition requests. In terms of annual power consumption, six gigawatts is actually quite a lot. Six gigawatts of data center connection capacity is the same connection capacity as if you were to add Berlin, Hamburg, Munich and probably Cologne together, so it's a lot. So this is included in our plan. We have further requests for a number of, let me call it, mid-single digit gigawatts. Those probably we will not be able to build before 2030, because they will require significant extensions on the TSO side. Because when we're talking several hundred megawatts, we are talking usually about a TSO connection as well at that point in time, at that place. So, yeah, the data centers are one significant driver that is adding on top of the renewables addition, the truck charging networks, the e-mobility additions, the heating transition, etc. So in that sense, not fully factored in. The bottleneck in the end is not the demand from customers. The bottleneck is our ability to deliver, especially in combination with the TSO.
Alberto Gandolfi: Very kind. Thank you.
Iris Eveleigh: Thank you, Leo. And with that, we have no more raised hands. We would come to the end of our Q&A session. Thank you very much, Leo and Nadia. And as always, if there are any other open topics or topics you would like to discuss, please reach out to the IR team. We're here to talk to you. With that, I’ll close the call. Thank you very much and have a good day.